Operator: Good afternoon, everyone. And welcome to the Red Robin Gourmet Burgers, Incorporated First Quarter 2018 Earnings Call. Please note that today's call is being recorded. And now, I would like to turn the call over to Terry Harryman, Vice President of Finance, Planning and Investor Relations. Please go ahead, Mr. Harryman.
Terry Harryman: Thank you, Cody. During the course of this conference call, we may make forward-looking statements about our business outlook and expectations. These forward-looking statements and all other statements that are not historical facts, reflect our beliefs and predictions as of today and, therefore, are subject to risks and uncertainties as described in the Safe Harbor discussion found in the Company's SEC filings. During the call, we will also discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles, but are intended to illustrate an alternative measure of our operating performance that maybe useful. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in our earnings release available on our Web site. We have posted our fiscal first quarter 2018 earnings release and supplemental financial information related to the results on our Web site at www.redrobin.com in the Investors' section. Now, I'd like to turn the call over to our President and CEO, Denny Post.
Denny Post: Thanks, Terry. Good afternoon. And thank you all for joining us today. After our brief remarks, Guy Constant, our Chief Financial Officer and I will take questions. Put simply, our Q1 results were a mix bag. While we felt short on sales, we made great strides on our off-premise business. And as a result, we did take some share from others despite their heavily advertised short-term deep discounting. We remain confident that our strategy is sound and we are putting the key building blocks in place to ensure Red Robin's long-term profitability, sustainability and ultimately return to growth. Let me dig into each of those elements a bit further, starting with the sales trends. Sales growth in this hyper competitive environment isn’t tough to come by without relying on aggressive price increases that we've seen from others in the industry. After our strong sales performance in Q4 2017 when our sales were up 2.7%, we rolled off 160 basis points of effective price this quarter. No doubt we also experienced some dislocations, particularly on dine-in traffic from other deals. As a result, we chose to adjust our plans accordingly to more aggressively conduce for sale, expanding the line up and thereby its guest appeal of our Tavern Double to five burgers at 699 as of the beginning of the May. Again, we choose to focus on driving awareness of our Tavern Double Burgers with bottomless fries or broccoli or salad if you're inclined at 699 every day, every seat, every guest, whether dine-in, carryout or delivered. Speaking of off premise dining, as I referenced at the open, we took significant strides forward on To-Go and Catering this quarter. Unlike our challenged dine-in traffic, off-premise growth made it possible for us to outpace the casual dining sector once again, this time by 230 basis points on overall traffic according to Black Box Intelligence. While this performance is less than our 360 basis point traffic beat in Q4, it was significant nonetheless, because it came entirely from growth in our off premise channels, which were up almost 40% year-over-year. Growth in off-premise is a key building block of our plan to move from being only a destination to a complete source of craveable customizable burgers. We’re going to do this by going where the guests what us to be, when they want us and how they choose to enjoy Red Robin be it in the restaurant or out. Burger Bar catering is off to a strong start with only minimal sales support and awareness today. We just began testing television advertising in select high penetration market and we like what we see early on from the results. With off premise averaging 9.4% mix in Q1, double-digit mix is clearly within the reach as we grow this segment aggressively. As to our dine-in traffic, we are mining our best in class Red Robin royalty program now with more than 8 million members and still growing. Consumer research has shown us we still have an opportunity to better communicate the value of our bottomless fries in all our meal. We will begin posting competitive online messages to better capture what we call simple hashtag burger math this week. An example is shown on Slide seven of the supplemental, which characterizes our value at 699 all-in with bottomless fries versus the other guys, a la carte pricing, which really adds up fast. This is only the first of many messages to come contrasting our everyday value with others. The goal is to make it stone cold easy for our guests to say yes everyday to visit Red Robin, and to unlock greater frequency and share going forward. In order to continue giving guest the bottomless value and still continue to deliver the attentive service they expect from us where it matters most in the transaction. We are implementing changes in our service model to offset wage increases we face in our most penetrated high volume western market. We shifted to a full team service model in Q1 and after the initial absorption and adjustments that any change bring, our operators had it just about grouped in. This had a significant positive impact on productivity, up almost 11% year-over-year as you can see on Slide 8. This provided a strong benefit in the quarter. In addition to service model changes in Q1, we went after more favorable janitorial contracts and/or in-sourced some janitorial work. We realized benefits on maintenance from our proactive investments in upgrading equipment, and completed the rollout of our new supply chain management system, which makes it easier for GMs to accurately track inventory and waste. We also reset our organizational structure early in Q1 to reduce G&A in part so we could adequately fund and resource projects that are critical to future growth. We continue to explore pilot and expand other productivity improvements and service model changes to support To-Go and Catering through our transformation initiatives. And we look forward to sharing more details of these as the year unfolds. So as I said, Q1 was a mix bag indeed, leading to adjusted marketing plans for the short term, all while keeping our eyes on the long term strategic goals. In the end, we met our internal expectations for earnings but did so differently than we expected. We anticipate more volatility in the current quarter, yet still expect to deliver on our year-end earnings targets. As we shared at our Analyst Day a year ago, we are choosing to play the game differently than others in the sector, taking what we are known for, great burgers, attended service and affordable abundance, forward in new ways to meet changing guest needs, reimagining our service model and prototypical restaurants design along the way. There are still many changes ahead for Red Robin as we seek to serve generations to come. With that, let me turn it to Guy for further perspective on our playbook and details of the quarter.
Guy Constant: Thank you, Denny and good afternoon everyone. As I walk you through the highlights of our financial results for the first quarter, please note that the numbers I present are on a recurring basis, excluding special charges. First quarter of 2018 demonstrated the continued evolution of Red Robin's business model from one that was largely dependent on sales to a business model that has multiple ways to deliver sustained earnings performance and returns on investment. And as Denny mentioned, it also magnifies a very different way that we are operating within our sector, and how that differentiated approach is one that is built on the solid foundation of everyday value, affordability, long-term profitability and prudent investment of capital. One of the early fruits of this approach has been Red Robin's extended run of significant traffic outperformance versus the casual dining industry, with Q1 once again outperforming peers on traffic by over 230 basis points. We also continued to deliver two-year outperformance versus our casual dining peers, now tracking up 350 basis points as measured by Black Box. You may also recall that last quarter we introduced that we’ve developed an additional benchmark that compares us to top quartile best-in-class competitors for the entire industry, not just casual dining. And through the end of April, we outperformed this group as well, generating a positive traffic gap of 70 basis points. We continue to focus on implementing the type of change that we believe is necessary to make our business truly successful. We are making and will continue to make the important choices around business investments. And we will need to innovate in a way that allows us to fully capitalize on the differentiated position that Red Robin holds with the restaurant consumer. These actions support our intention to first return to absolute and consistent earnings growth and then put ourselves into a position to allow us to provide growth and returns that one associates with high performing organizations. Now to the specific results. Q1 total company revenues increased 0.2% to $421.5 million, up from $420.6 million a year ago. Comparable restaurant sales declined 0.9%, driven by 1% decline in average guest check, offset somewhat by 8.1% increase in guest traffic. Mix decreased 2%, primarily driven by heavier guest usage of our Tavern value menu and lower non-alcoholic beverage mix. Overall, price after considering the impact of discounting, increased 1% in the quarter. Our pricing is out in line with our stated goal of holding price between flat and up 1% to support our goal of driving traffic by continuing to make the Red Robin experience more affordable to our guests. Tavern mix increased to 13.5% in Q1, again consistent with driving value and affordability to our guests, which contributed to our traffic outperformance versus the industry. First quarter restaurant level operating margin was 20%, down 130 basis points versus a year ago, driven by the following factors; cost of sales increased 90 basis points to 23.8%, driven primarily by the higher tavern mix and lower non-alcoholic beverage mix mentioned earlier, and the higher cost of steak fries and ground beef; the impact of mix was a slightly higher driver of the increase in cost of sales than was commodity inflation; restaurant labor costs improved 70 basis points to 34.5%, driven by significant improvements in hourly labor productivity, offset partially by the increases in restaurant manager bonus expense and a small increase in manager labor cost. In 2017, we made significant investments to improve the payout levels of our restaurant manager incentive programs. These improved payouts were predicated on a successful pivot to improve labor productivity and to generate better restaurant level economics, while driving improved comp sales. These changes have helped drive the improved labor productivity that we were seeking, and great credit should go to our restaurant leasers who have so effectively managed through the recent months of significant change. Other operating costs increased 70 basis points to 13.3%, primarily due to increases in restaurant technology expenses, To-Go and Catering supplies and third-party delivery costs, partially offset by lower repair and maintenance costs. Occupancy cost increased 40 basis points to 8.4%, primarily due to higher property taxes and insurance costs and sales and leverage. General and administrative expense improved by 50 basis points to 6.8% due largely to the home office reset that was completed in late January. This reset is consistent with our pivot away from being a unit growth driven organization to one focused on value, affordability and improved four wall economics. Costs associated with the reorganization are included as a special charge in the quarter. Selling expenses were up 10 basis points as a percent of revenue to 4.2% due to increases in local marketing spend and menu costs, partially by lower national media spend and gift card costs. As a reminder, selling expense now includes all marketing activities, including both national and local marketing and media expenses. Preopening costs decreased $700,000, primarily due to fewer restaurant openings in 2018. Q1 adjusted EBITDA was $42.4 million, down 7.4% versus a year ago, driven mostly by higher cost of sales and other operating costs, offset by the improved labor expense mentioned earlier. Depreciation and amortization was 20 basis points higher at 6.9%. Net interest expense and other was $3.4 million, an increase of $400,000 versus the prior year, driven by the recognition of a loss on our deferred compensation plan. Our first quarter adjusted tax benefit was 21.2%. Adjusted earnings per diluted share were $0.69 as compared to $0.89 in the first quarter of 2017. And during the quarter, we recognized two special charges; the first related to the home office reset we've discussed earlier; and the second due to the establishment of a litigation reserve associated with employment related claims. Now, turning to the balance sheet. We invested $15.9 in CapEx from the first quarter, primarily related to investment in technology projects, new restaurant openings and restaurant maintenance capital. We ended the quarter with $23.7 million in cash and cash equivalents, up $6 million versus where we ended 2017. And we finished the quarter with a lease adjusted leverage ratio of 3.96 times. We paid down a total of $35 million of debt in the first quarter, leaving an outstanding balance of $231 million on our revolving credit facility. This demonstrates continued progress towards our ultimate goal of maintaining a long-term lease adjusted leverage ratio of 3 times. We also project Q2 adjusted earnings per diluted share to range from $0.55 to $0.75. Before I close, I want to acknowledge the incredible work of our operators, and the resilience that they have demonstrated as they absorbed some fundamental changes in how we manage the day-to-day operations within our restaurants. We know this work has not been easy. But it's been done with great care for our team members and our guests. I also want to acknowledge the efforts of our marketing and culinary teams who've continued to deliver outstanding and differentiated top line results. At Red Robin, we will continue to prioritize our capital and operating investments based on the incremental returns on capital that these investments will create. Whether these priorities drive sales, improved margins, reduce expenses, generate EBITDA or distribute capital to shareholders, the overwriting filter will be the expected return of that incremental capital, or an improved return on capital already invested, as it is a focus on overall returns that is most highly correlated to overall improvements and total shareholder return. With that, I'll turn the call back to Denny for a few final comments before we take your questions.
Denny Post: Thanks Guy. I'll be brief. Before we take questions, here is a hearty shout-out Red Robin Yum to our restaurant field and home office teams who are working hard to navigate these challenging times. It is your belief and commitment that makes the pivot to where the guest wants us to be profitable. Let's take questions.
Operator: [Operator Instructions] We’ll take our first question from Will Slabaugh with Stephens, Inc. Please go ahead.
Will Slabaugh: I had a question on the guidance. You said you expected more volatility in the current quarter, I believe, Denny. But you said you had confidence in the full-year earnings targets. I just want to clarify that you are also reaffirming your comp guide for the year. I think it was 0.5 to 1.5. And if so, what's going to change to improve that comp trajectory as you lap some more difficult comparisons as the year goes on?
Guy Constant: Well, our only commentary around guidance is the updated ESP guidance for Q2, which is $0.55 to $0.75. Other than that, we have no other comments on the guidance that we’ve provided in Q1. As for the second part of your question in terms of overall comp sales, we continue to believe that affordability is the foundation upon which we can build long-term traffic growth as our primary priority and then overall sales growth as well. We're always going to have circumstances like we've had here in the past few quarters where the competitive environment accelerates and you get situations like we did where you see large increases in advertising spend or significant increases and discounting activities. That’s going to happen from time to time. But we continue to believe that that's not a sustainable long-term strategy for the industry, and we feel the more appropriate strategy for us as a business is to maintain affordability, and we think that will drive that long-term comp performance we’re expecting.
Denny Post: Let me just add on that. I think affordability will affect both on-premise and off-premise as people see more opportunity to enjoy Red Robin. And as I referenced our catering business is also really solid start and highly incremental business, great guest response so far to it. And I think is something that we anticipate leaning into and as we learn our way through it, continue to see some real upside there to driving off premise business.
Will Slabaugh: And if I get your thoughts on the comp sales, can you talk a little bit about the cadence that you saw during the quarter. I know you guys don't give quarter-to-date commentary. But at least what we’ve seen through whatever you guys had announced your fourth quarter since we’re getting into first quarter, hadn't seen the data pointing downward and it seem like things got a little bit better in March for the industry, although some on the West Coast the things were a little bit tougher in March. So any color you can give us in terms of how things went in the quarter would be helpful. Thank you.
Guy Constant: You might recall, Will, we talked in February when we had our Q4 call that we indicated that we believe the industry was off to a slow start to that point through. And no question the industry seemed to improve somewhat in March and April. The other interesting fact that you might have noticed in the first quarter this year is we saw a larger gap between sales performance and traffic performance in Black Box, and I think we’ve seen in recent memory, which would imply that the growth in ticket has been as large as we’ve seen in any quarter again that we can remember in some time. And so back to my earlier point about affordability, with our average ticket down one point in the industry's average ticket up three, we gain 400 basis points of relative affordability versus the rest of the space, which we think actually even strengthens our position as an affordable alternative for the families, or the people that were frequent are our business in the future. And so we continue to believe that’s the right place for us to be. And we think it will drive the long-term performance we’re looking for.
Operator: We’ll now take our next question from John Glass with Morgan Stanley.
John glass: First can I just a follow-up on the comp trends. Did your -- the traffic did get better in the industry in March and I think in April. Did your trends follow the industry or not?
Guy Constant: We don’t have any comment, John, on how our trends performed during the quarter.
John glass: And then can you talked about a couple of things, one is just an update on the average check for the off premise business and maybe break that into the traditional off premise business, and the catering piece right, because if you blend them that may obscure a little what's happening. And you talked about non-alcoholic beverage sales declining and that was an impact on comp and on the COGS. Is that due to the off premise business growing so quickly and maybe can you isolate how much that was relative to the other factor you talked about?
Guy Constant: That’s part of it, John. Certainly, there is as not uncommon for us versus others in the industry just a lower beverage add-on incidents for off premise business, and what you see inside the restaurant. So that certainly had an impact. And the combination really that off premise -- the impact of non-alcoholic beverage and Tavern comprised a slightly larger component of the COG decline than did commodity impact. So giving order of magnitude that 90 basis point impact on COGS, 50 to 55 basis points of that was related to mix versus the actual commodity inflation. In terms of average check on what we see in off premise, it can be skewed a little bit depending on which provider or which aggregator that we’re dealing with, because some have order minimum, which can sometimes inflate the average check. But generally speaking, average check off premise for us is fairly similar to what it is dine-in, except for the fact that you lose that beverage incidents that we talked about, which does tend to be a drag. They do add-on a little more, but the non-alcoholic beverage incident does make it a little bit lower than what you see in dine-in.
John glass: So just to be clear…
Denny Post: Yes, and Catering…
Guy Constant: Yes, lower than dine-in mostly driven by the lack of adding on beverage.
John glass: I think, I interrupted you Denny…
Denny Post: I was going to say, I don’t know that basically with our $10, $11 per person average catering right now on our proposition, I am not sure that that does give it at all that much one way or the other. But we can certainly look at that small amount, looking that forward.
Operator: Thank you. And we’ll take our next question from Peter Saleh with BTIG.
Peter Saleh: Denny, I think you guys mentioned that the Tavern Double mix was about 13.5% this quarter. Just curious what are you thinking in terms of what’s the ultimate goal here, or do you think it will stay around this range? I think it was a little bit higher last quarter. I would have anticipated given the promotional nature of the first quarter that the Tavern Double mix would have been a little bit higher than 13.5%?
Denny Post: No, and it’s hard to say in terms of what’s our -- I think the highest we’ve ever seen is around 14% in Q4. Someone is madly showing me numbers. So 14% I think for four and we have expanded as we showed in the supplemental, we’ve expanded to five items now at 699 which broadens our reach somewhat or we wouldn’t be doing it. We look at the overall balance of the menu, fine is still holding in at about the same mix that it’s had. And our goal is to have more focus come in over time for the Tavern Double burgers more frequently. So I don’t know, I don’t have a magic number that we’re striving for, but we are driving to drive traffic and incremental traffic and ultimately unlock the frequency. And so that’s why you see us being more aggressive about the competitive comparison to some others, and seeking to really hang on and in fact grow a lot of our elements of our business, including our lunch day part.
Peter Saleh: And then just the off premise business, I think it was said about 9.4% in double digits. How should we be thinking of the overall margin profile of the off premise? Is it margin dilutive with delivery, or is it margin neutral? How should we think about that going forward?
Guy Constant: It depends on the channel, Peter. So the most profitable transaction we have is in online order where the guests picks it up in the restaurant, because we save the front of the house labor and we don't incur the commission charge that we would pay the aggregator…
Denny Post: Which is still the largest part it…
Guy Constant: Yes. But 16% in the restaurants that have third-party delivery, about a sixth of it is third-party delivery. Now, we only have third party delivering about 70% of our locations. So in the restaurants that have it, it’s even a little bit higher percentage. But still as Denny said, the vast majority of people are calling in are placing an online order and coming and picking it up in the restaurant. And in those instances, it’s margin accretive. The third-party delivery of course with the commission makes it slightly margin dilutive. You still see some of the savings in front house labor, but you’re incurring the commission charge, which overall makes that transaction margin dilutive.
Peter Saleh: Just last question from me and then I’ll hop up. Are you seeing any of your customers that were coming in for pickup, calling it in and then coming in and picking it up, transitioning more to delivery as they realize that the restaurants not deliver?
Guy Constant: Hard for us to know that, Peter, because one of the challenge is that third-party deliveries don’t have access to the data.
Denny Post: Right, they’re not sharing that information with us…
Guy Constant: So that is one of the drawbacks that dealing with the aggregators is that they won’t share that data, so it’s hard for us to keep track of the guests as much as we would like, which is one of a number of reasons why we said we’re testing the self delivery proposition, because we believe not only is it cheaper than using an aggregator but it gives us access to the data as well.
Operator: And we’ll now take our next question from Jeff Farmer with Wells Fargo.
Jeff Farmer: Guy, just to be clear, does your statement about no other comment on guidance imply reiteration of existing guidance? And if not, why not update guidance as you guys have done in the past. I think you did it a few times last year.
Guy Constant: I think the policy as outlined in our press release is if we believe there is a material change that would cause us to provide a change to the guidance so we would do so. Otherwise, our comment is that we just exit our annual guidance.
Jeff Farmer: Okay, so reiteration. And then controlling for the off premise contribution to the same store sales in the quarter. Your dine-in same store sales would be down pretty materially and even asked this on this call. But any concerns about what this suggest about potential cannibalization of that dine-in traffic?
Guy Constant: So dine-is was down about 3%, so that’s similar to the trends we saw in the third quarter last year and obviously off that improved performance that we saw in Q4. So we are constantly watching the off premise business determine its incrementality and to assess if we believe it’s cannibalistic to the existing business. We’ve not seen data that makes us believe that it is to a large extent, partly that’s because as you can see with 40% growth in off premise and now us being a little bit later to the game than a lot in the space, we’re just getting back to closer getting our fair share of that off premise business. So that perhaps masks or officiate somewhat cannibalization that you might see with any particular guest. I think as we start to move towards levels that are comfortable for our off primus business that was in the space, it will become a little bit easier to read to the extent to the canalization that we might be seeing.
Denny Post: That said I also think that some of the short-term dealing that we saw in and the heavy promotion, I mean we saw some of the most dramatic that I can remember. I think we saw something like $55 million uptick in competitive spending in Q1 alone. And a lot of that also online et cetera was against offers that were only available in restaurant, alcohol driven offers et cetera. I think it was definitely probably a disproportionate dislocation on the bulk of our business, which is associated with the DLC for going someplace else in the quarter to dine. So we’re very much cognizant in fact that we then have to balance around a little bit differently and are adjusting our plans accordingly as we go forward.
Jeff Farmer: And just one more unrelated question. So lot of labor cost efforts and I am just curious in terms of your ability to essentially track your customers in terms of satisfaction or even operation quality scores, how happy your employees are? How have these cost control efforts on the labor side impacted all of those parties?
Denny Post: We're keeping our ear to the ground very closely on this, and it's a regular topic of conversation. First, we continue to use net promoter score as a way of measuring impacts, and have not seen any change there. We do track other elements. And as we said regularly, can you talk with and touch-base with our field operators to understand where we have opportunities. As by reference in my script, there is some time and in fact takes a while to get the change affected the way you want it to do that's natural, some people take things more readily than others. And we’re continuing to work that through with them. But again, what we're implementing is not new to the world in terms of our team service model it's just new to Red Robin. So I'm confident we'll get a good return.
Operator: Thank you. We’ll now take our next question from Brian Vaccaro with Raymond James.
Brian Vaccaro: Just wanted to circle on the Q1 labor savings. And can you give us the sense of when this team service changes for fully rolled and digested by your teams? And also were there any additional labor cost initiatives rolled out in the current quarter?
Guy Constant: The move continue to service happened, it's probably a month into the quarter is when the rollout was affected. So you have the benefit almost for the full quarter of both the maestro changes that were made in the fourth quarter and the team service changes that were made in Q1, so most of the quarter was impacted by those labor changes.
Brian Vaccaro: And can you give us a sense of the current quarter and the second quarter. Are there additional initiatives on the labor front specifically that are planned, or maybe even in the back half of the year? Is there any color you can give us on some of those plans?
Guy Constant: I don’t know that we provide a whole lot more color right now, Brian. Obviously, we've made some pretty significant improvements in our productivity. I think we made a reference in the supplemental materials that our productivity on a year-over-year basis has improved about 10%. So a pretty significant move there. And so while we do anticipate that there are other opportunities, nothing specific that we’re willing to share at this time.
Brian Vaccaro: And then shifting gears, if I could, to the guest satisfaction scores. I think in the past you've shown us those scores, and I think we were getting to an NPS of around 70. Could you be more specific as to what you saw in terms of NPS scores as you move to the first quarter?
Denny Post: Is 71 specific enough? 71 and again, managing to try to reach under 7 on the tractors and seen variety of performance there. And then we’re continuingly seen that or better on catering, and we're continuing to work to improve our scores on off-premise. But unfortunately, our line of sight there is really tough with the amount of third-party delivery, the response rate, et cetera. But we’re really working to get better and better on our off-premise NPS as well.
Brian Vaccaro: And then just last one for me. Guy, on the first quarter, the other operating costs were up quite a bit more than we had expected, at least internally here. Could you help us to unpack that line just a bit? And I think your expectation for the year was to see some leverage on that line back in February. But any comments on your expectations for other OpEx would be helpful. Thank you.
Guy Constant: Yes, we actually lost little bit of leverage of course with our comp sales being down 0.9 in the quarter. But as you can see, we still have very strong growth on the off premise side. And our To-Go with Catering supplies and third-party delivery fees are in that other operating expense line. So when you combine the deleverage on the dine-in traffic and the strong performance probably even a little stronger than we were expecting on off premise performance in Q1, that's where you get maybe a little bit more pressure on that line than you might have expected.
Operator: [Operator Instructions] We’ll take our next question from Stephen Anderson with Maxim Group. Please go ahead.
Stephen Anderson: I have question about the Tavern mix and I want to also go into Red Robin’s Finest side as well. Just for comparisons sake, just wanted to ask where the Tavern mix was in Q1 of ’17. I also want to get a comparable mix with both the Finest in Q1, ’18 versus 17.
Guy Constant: The Finest is pretty flat, it’s in right around 9% is where the finest was so, really somewhat unchanged from where we were a year ago. As for Tavern, it was around 10.5% in Q1 last year and ran about 13.5% this year.
Denny Post: And what we can truly -- looking back over time as we went back to talking about rate variety on Tavern, we saw traffic trends improve with that. So again, we've been getting the benefit more folks coming in to enjoy those burgers, which is obvious in the mix but it’s also obvious in our outperformance on traffic.
Operator: Thank you. And that does concludes today’s question-and-answer session. I would like to turn the conference back over to Ms. Denny Marie Post for any additional or closing remarks.
Denny Post: Very simple, have a wonderful start to summer everyone. And we look forward to updating you on our progress again at the end of Q2, maybe a new record.
Operator: Thank you. And that does conclude today’s conference. Thank you all for your participation.